Operator: Thank you for standing by. This is the conference operator. Welcome to the Mullen Group Limited Year End and Fourth Quarter Earnings Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Murray K. Mullen, Chairman, CEO and President. Please go ahead.
Murray Mullen: Yes. Thank you and good morning. And welcome to Mullen Group's quarterly conference call. We will be discussing our year-end financial and operating performance for fiscal 2017, as well as our fourth quarter results. This will be followed by an update on our near-term outlook as we see it. So, but before I commence the review, I'd remind you that our presentation contains forward-looking statements that are based upon our current expectations and are subject to a number of uncertainties and risks, and actual results may differ materially. Further information identifying these risks, uncertainties and assumptions can be found in the disclosure documents, which are filed on SEDAR, and at www.mullen-group.com. So with me this morning I have our senior executive team of Stephen Clark, our CFO; Richard Maloney, Senior VP; and Joanna Scott, Corporate Secretary and VP of Corporate Services. This morning Stephen will review the financial and operating results of the Mullen Group for the fourth quarter as well as fiscal ‘17. After which, I'll provide an outlook for our organization and discuss our near-term expectations for both the oil and natural gas industry and the overall economy from my perspective, which will be followed by Q&A session. But before I turn it over to Stephen, I'll open with a few comments. So with 2017 now completed, our focus turns to 2018, which looks at the onset to have a few very big issues, that need resolved or at least some clarity before anyone can opine on the outlook for ‘18 with any confidence, especially here in Canada. There are a few very important trends, that I will discuss and I’ll share my views on several macro topics that will undoubtedly have a significant influence on our results in 2018. But before we talk about what might happen, let’s spend a few minutes and talk about what did happen. Now, I don’t find it a valuable use of anyone’s time to reiterate what can be read, as such I’ll refer all of those that are interested to our very detailed annual financial review and MD&A for Q4 and full year 2017, which is available on our website and on SEDAR. For those of you interested in the condense version, we have prepared a user-friendly and informative press release, which was released last night. And clearly, I do not need to duplicate what Stephen will present in a few minutes, in which he will add some additional insight into our financial results for Q4 as well as our balance sheet as of December 31, ‘17. So today, I’ll keep my remarks short, will focus on macro issues, influence -- how they influenced our 2017 results and then I’ll close with our expectations for the two sectors of the economy. So what are the macro factors? Well firstly, as everyone know, 2017 was a year of economic growth here in Canada, in the US and in fact in most of the major world economies. Clearly, the easy monetary policy that has been adopted by central bankers on a virtually worldwide basis, continue to be an enabler from an economic perspective. In 2017, we saw the demand for freight services grow throughout the year across all geographic regions of the country, which partially explains why are Trucking/Logistics segment grew sequentially quarter-over-quarter in 2017. And we ended 2017 with record revenue. Continued steady moderate growth over the last 10 years means that the economy is now much larger than one decade ago. The other contributing factor of course was acquisitions. And since the vast majority of our acquisition strategy has been focused on the Trucking/Logistic sector of the economy, I think you’ll start to see why, and why we will continue to invest in the Trucking and Logistic sector. More on this shortly. Here is the real story, I believe it relates to our Trucking/Logistics segment. Demand was strong, as I indicated, but margins remained under pressure for the majority of 2017, due to two reasons: First, as we’ve outlined on far too many occasions, 2016 was the last year of the legacy major capital expansions in Alberta. And as such, this higher margin project work was not replaced in 2017. So this hurt our overall margins. Because our business units like Kleysen Group, one of our larger business units experienced a pretty dramatic drop in profitability as the projects were completed. In addition, and this is across virtually every sector of the Canadian economy we serve, pricing in the Trucking/Logistics sector was ultra competitive. It’s not because of the tremendously oversupplied market in my view, but more because of e-commerce technology revolution that has gripped nearly every market. In other words, the Amazon effect, where price visibility became the norm, where proprietary markets became exposed. Markets were disrupted, along with this, many of our customers got into trouble, exposing flawed business models. And from this perspective, let’s think retail as an example. The trucking industry was not spared and on far too many occasions, carriers panicked and dropped pricing to defend market share, even though there was not a lot of excess industry capacity. In other words, I believe the customers outsmarted the trucking executives. As a result, operating margins were negatively impacted in 2017. But life has a way of working out in ways we often do not contemplate. In fact, the reality is that customers today, in their quest to get the lowest price, virtually tripled most of the trucking industry to the point where no carrier added capacity. Many carriers were forced to downsize. There was no recruiting, no investing, quite simply no nothing by the industry in terms of planning for the future. The only mantra I heard, was survive. And what happens when the market doesn’t add capacity and then demand improves? Well it’s simple, prices start rising, which is exactly what we started to see in the second half of 2017. In fact, it’s now at the point where customers are virtually asking for capacity commitments in exchange for higher rates. That’s exact opposite of what we’ve seen in 2016, ‘17. We started to see early indications of tightening and pricing leverage in the spot market commencing in the fourth quarter, which is traditionally not the strongest quarter for the Trucking/Logistics industry. So what does all this really mean? We like the market dynamics in the Trucking/Logistics sector, because demand is firming, at exactly the same time supply has been constrained. 2017 was a year of supply and demand fundamentals change in the trucking industry. And while our [results] don’t necessarily reflect this emerging trend, as evidenced by our segment margin incline, I believe this will reverse of course in 2018 and beyond. Now let me turn to the oil and gas sector of the economy. The recovery in oil prices has spurred the recovery in oil and gas industry after two global years. This was what I refer to as the second macro factor. Oil and gas companies responded by increasing their capital budgets, especially as it related to drilling activity, providing a much needed boost to service industries -- companies. For our company, this was clearly a positive for those business units focusing on the drill bit, what we refer to as our drilling related business units in our Oilfield Services segment. However, we have been strategically reducing our exposure to the oil and gas sector for several years. As such, the increase in drilling activity in Western Canada, while positive, was not a meaningful contributor to our overall results. Nevertheless, the recovery in oil prices along with increased spend by oil companies was positive in 2017. A third main macro factor also relates to the oil and gas sector. This is what I will refer to as the lack of energy infrastructure. This is by no means a new topic. But in 2017, this lack of oil pipelines to tidewater, which is really the only viable way to get oil to world markets, became a major bottleneck and will undoubtedly only become a much larger issue in 2018 as new supply like Suncor Fort Hills ramp up production. Likewise, Canada’s lack of conviction in creating opportunities for our nature gas industry killed any chance of a sustained recovery in the oil and gas industry. LNG is an absolute must for Canadian natural gas producers. It’s just that simple. So why do I say it? Because of two fundamentals: Technology, think multi-stage fracturing, which has absolutely transformed the natural gas business. Today, natural gas production in Canada is nearing record highs in-spite of the modest rig count. In addition, those dastardly characters from the south are now exporting their natural gas into Eastern Canada effectively displacing Western Canadian gas. The market for natural gas in Canada is flooded which means that if access to world markets via LNG projects remains mired in political juggernaut, there is little reason to be optimistic about natural gas in Canada, my opinion. So what does this all really mean? I firmly believe that there is a structure recovery taking place in the oil and gas industry. But without infrastructure, the oil and gas industry in Canada will not be a growth industry. This is how we view the oil and gas sector of the economy and why we are comfortable maintaining an effective underweight position in terms of capital allocation to this operating segment. At least until Canadians realize, there is value to a strong oil and gas industry. The discussions unfortunately are wrapped up in political squabbles, whereas in most countries energy is a national priority. And the last macro trend relates to acquisitions, one of the main stems of our organization. Over the course of the last 18 months, we’ve completed eight acquisitions. We’ve added over $100 million in annualized new revenues. The vast majority of these opportunities we refer to as tuck-ins, because we simply acquire the companies, roll them into one of our existing best-in-class business units. And in doing so, we look for synergies, which really is an acronym for job cutting, to ensure we can achieve margins that are similar two ours. This strategy is not easy and it takes a little longer to execute, meaning that margins will be negatively impacted in the short-term as was the case in 2017, until we can right-size and modernize the business. But the reality is that if the economy is only growing in a moderate pace 1% to 2% per annum, then acquisitions are the only way to accelerate growth. So what does this all mean? Well, as you can see, acquisitions were a significant reason for our growth in 2017, which is good news. However, margins were temporarily impacted, that’s the bad news. It is the responsibility of this senior executive team to manage the integration process and to ensure operating margins are improved over time. And to this point, this is exactly what our mission statement at Mullen Group is. We acquire companies and we strive to improve their performance. All-in-all, a decent but by no means, spectacular year, which is precisely what we articulated to shareholders throughout 2017. We knew we were coming off some pretty nice project work in ‘16 and that these projects would be difficult, in fact, impossible to replace. We also knew that acquisitions were the only true means to mitigate an otherwise modest economic recovery. So throughout the year, I often referred to 2017 as a year of transition, not just for our company but for the two market sectors we service: the Trucking/Logistics segment, and the oil and gas industry. I also indicated that I was more optimistic than I have been in a few years. And while our 2017 results didn’t necessarily reflect my optimism, I firmly believe a solid foundation for future successes was clearly established. So Stephen will now provide further insight on 2017 results and our balance sheet, which is going to be a real future growth enabler for the Mullen Group. Stephen, it’s yours.
Stephen Clark: Thank you, Murray and good morning fellow shareholders. Firstly, thank you to our best-in-class team that produced a very detailed MD&A and financial statements in record time, a full week ahead of last year's pace. Our financial -- our annual financial review available on our website fully explains our performance. As such, I will only provide some high level commentary. By all accounts, our fourth quarter was a good quarter. We saw a record Trucking/Logistics revenue and improved Oilfield Services results. Consolidated revenue was $296.1 million, an increase of approximately $38 million or 15% as compared to 2016. On a sequential basis, consolidated revenue continued to grow, reflecting both our acquisition strategy and an improved economy. For the fourth quarter though, specifically from a segments perspective, the Trucking/Logistics segment contributed approximately 70% to pre-consolidated revenue and grew by $33.6 million or approximately 20% to $206.6 million. This is a new record, not just for our fourth quarter but of any quarter. With new record revenue, also came new record fourth quarter OIBDA or what is commonly referred to as EBITDA. The Oilfield Services segment contributed approximately 30% of the pre-consolidated revenue, or approximately $90 million, which was an increase $5 million year-over-year. In terms of percentage of consolidated revenue, operating margin, adjusted for currency fluctuations, was relatively stable at 15.5% as compared to 15.6% in the fourth quarter of 2016. Despite the completion of various capital projects in 2016, for the year 2017, we generated approximately $1.1 billion in revenue, an increase of 10%. And generated an operating margin, again adjusted for currency fluctuations of 15.8% as compared to 17.8% in 2016. This is low in a historical context but consider the following. We are more Trucking/Logistics focused than we once were. With a greater proportion of Trucking/Logistics revenue, it is only natural that the overall margin adjust towards the segment’s average, rather than the oilfields average of 20% or better. We are still integrating our acquisitions. Collectively, the series of acquisitions we completed in the past two years have contributed approximately a $100 million in annualized revenue. Some of that is yet to come because our recent acquisitions such as Marshall and RDK but certainly some of it is already baked in the cake with Caneda and others that we completed in 2016. However, many of these acquisitions are yet to produce the margins that we expect and we continue to work with them to improve. And lastly, our Oilfield Services segment margin is remarkably resilient, still around 20%, both in 2017 and 2016. A feat not many have been able to replicate in the services sector. So overall, a bit lower than historic, but partially by design, partially due to acquisitions, and partially because of the focus on asset light Trucking/Logistics rather than capital intensive Oilfield Services. However, concentrating on free cash has always been a mainstay at Mullen Group. As such, our balance sheet remains strong. In September of 2017 we repaid US$85 million and CAD20 million of our private placement notes, reducing our annual interest cost by approximately $7.5 million and exited 2017 not only with reduced interest cost but with ample cash approximately $135 million. We have another $70 million of debt maturing in June 2018 but not much after that. Our next maturity is in 2024 and 2026. In 2017, we also invested $19.8 million for PP&E with another $13.4 million of carryover that was included in our announced $40 million CapEx budget in December. So ample cash, relatively low capital expenditures in 2018 and our $75 million credit facility remain available and undrawn. Many would call this dry powder, I simply call it financial flexibility. So with that, Murray, I'll pass the conference back to you.
Murray Mullen: Thanks, Steph. And I'll reiterate your opening comments that I think the team did an outstanding job of getting the MD&A out earlier than ever before and absolutely quality paper. Thank you very much. So thanks, Steph. Just a few short weeks ago, we outlined our business plan and expectations for 2018. And since really nothing has changed to materially alter our view, I'll take just a few minutes to recap our plan and then I'll turn the call over to what I refer to now as our world-famous Q&A session. So generally speaking, we have two potential outcomes for the coming year. The first assumes that we continue doing what we've done for quite some time and then is just to take advantage of what the two sectors of the economy provide and layer in some tuck-in acquisitions. Under this scenario, we will improve over 2017 results, continue to de-lever the balance sheet, which means pay down a $70 million debt note in June as Stephen talked about and stay focused on our current business to drive as much free cash flow as possible, including returning more to our shareholders. The second scenario is based upon finding a transformational acquisition that we believe will drive future growth. Under this scenario, we will use the cash on hand and most likely use new debt to fund the big one. Either option’s attractive and given our well structured balance sheet, accompanied by our business model that allows us to generate free cash, we have tremendous optionality heading into 2018. So what are our objectives and goals for '18? I'll just reiterate them, we talked about a little while ago. Our financial goals are to generate consolidated revenue in excess of $1.2 billion, that's a nice increase over 2017 and achieve operating margins in the 16% to 17% range which equates to an OIBDAR operating income or EBITDA whatever we are told to, classified as these days, of approximately $190 million to $200 million. To support these goals, we will continue to pursue acquisitions as a means of growing our business in excess of what the markets give us. Secondly, we will deploy $40 million in capital into our 30 business units, primarily once again focused on the Trucking/Logistics segment. Overall, we refer to our capital plans for 2018 as a neutral-waiting. And as you recall, we had an underweight position in 2017. Actual 2017 net CapEx was under $20 million. Three, we will increase our investment in mobile technology to ensure our business units remain best-in-class and ensure our people can take maximum advantage of the digital revolution. Four, we will introduce our industry-leading business management certificate program to our workforce by combining in-class participation with online training, which will allow us to reach more of our people with desire to improve their business skills, a step toward enhancing their careers in our organization. Five, we will accelerate our investment in Moveitonline, our proprietary online load matching marketplace. In fact, the market penetration and user content are now at a level, after less than one year, that we feel confident that we can take Moveitonline to the next level. We have some very significant plans for Moveitonline in 2018 starting with the introduction of MOB version 3.0, which will have a total new look and an enhanced search component. We’ve already exceeded our initial expectations with over 200 certified carriers representing approximately 15,000 trucks and 30,000 trailers. In addition, since the 1st of 2018, the transition level continues to accelerate. In fact, in the first few weeks of 2018, we’ve already achieved 25% of all of the loads transacted in 2017. The last remaining item that I’ll address this morning is what do we do with our free cash that our business model generates? And I’ve already indicated that to achieve our growth plans for 2018 we’ll need to pursue some acquisitions. But we already have over $135 million in cash. As such, we really do not need any additional cash for this objective, unless of course we find a transformational target. Our $200 million of OIBDA, with an annualize CapEx of $40 million, low interest payments based upon our current models will be around $23 million, cash taxes of around $25 million results in $100 million to $110 million of free cash. So our plans are; to repay the 70 million long-term debt in June of ‘18; increase the dividend to $0.60 per share annually or $0.05 per month, which is an increase of 67% over last year, which we’ve already announced; and we may also consider instituting a share buyback plan, if we cannot find accretive acquisitions. So in summary, we have a well thought out plan for 2018. We have the flexibility to adapt a changing market conditions and we are generally optimistic about the future for Mullen Group. The trucking and logistics sector of the economy looks very positive today, as good as I’ve seen in a long time. Demand is expected to remain robust, especially given the economic strength emulating from south of our border. The job market is at historically low levels meaning it will be a challenge for the industry to add new capacity. As such, pricing should improve in 2018. As for the oil and gas industry, I still believe the fundamentals look positive. Crude oil prices are up substantially over the last 24 months. On the negative side, natural gas prices have been crushed. So one needs to be realistic about the future for our industry in Canada. As such, we are hoping for a little stronger year in ‘18, but this will only happen if there is an increase in spend by the industry in the second half of the year, because thus far, we are not seeing a robust start to the year. We’re still hopeful, but limited capital until more clarity. I’ll now turn the call back over to the operator, who will open up the lines for a Q&A session. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Walter Spracklin of RBC.
Suneel Manhas : Good morning. This is Suneel Manhas today on for Walter Spracklin. I just want to start on the T/L segment. You mentioned some indications that spot prices there are on the rise. Can you provide a sense of what portion of the Q4 revenue growth is attributable to volume growth and how much it is driven by the pricing side?
Murray Mullen: No I can't provide that. That's a granular number. The pricing side is clearly going to show up on the margin side when you get pricing, but it's not going to show so much up on the top-line side. I just don't believe. That's my view on it. So, very difficult for me to give you any reasonable estimation on that. I'd be just guessing and there's no sense in giving that. To the extent we get pricing leverage, that's going to help margin. It'll have a little bit of an impact obviously on the top-line, but not meaningful side.
Suneel Manhas : Okay, okay. And just sticking with the T/L there a bit broader. In the press release, you've mentioned, or in one of the release, you mentioned market share gains. Can you talk about, what businesses that, that landed and whether there’s potential for further gains into 2018?
Murray Mullen: Well, I think that you're seeing the marketplace tightened significantly. We've seen many of our competitors are now after a couple of years are pretty strapped. So they really don't have the same maneuverability. But I would say to you that the market share gains again are really from the position that our competitors just -- the market is tight. And so, we lose market share when we don't chase pricing. But once the prices -- the market improves and pricing come backs, the customers have nowhere to go but back to us. So we're really just regaining market share that we gave up when our competitors just dropped the prices way too low. So I would say we're returning more to the norm than really getting actually new market share, to be blunt. The market share we do get is through acquisitions. That's clearly new market share.
Suneel Manhas : Got it.
Murray Mullen: The big thing is, we don't trap ourselves in chasing Mr. and Mrs. Stupid. We have a tendency to just say, if that's what you want to do, do it, you won't do it for long because it's stupid. So we just sat back and we gave up market share and we gave up and we just sat and ran our business. But now we're seeing the market tightened to the point where the customers coming back to us because we are there, we've got capacity and we are not gouging, we just want a fair price for what we're providing. So from that perspective, that's really where the biggest change that I see coming on is that, I'm hearing that across the board now as the trucking company executives are just sick and tired of giving away their service and doing it for nothing.
Suneel Manhas : Okay. And just one last quick one here on the margin. And just thinking about the push and pull between potential for pricing growth versus some of the cost inflation that could be on the horizon, especially with the tight labor markets, could that cost inflation start to creep up the pricing growth, creating some pressure or is the conditions with the demand and the capacity really, really mean now that pricing is going to outpace any cost inflation we might see?
Murray Mullen: That's a really good observation is that there is no doubt in my mind that we're seeing some inflationary pressures, where we're seeing across the board, but the one that is probably going to rear its head is going to be on the labor front. And so, that's why we're absolutely a must that we get to some pricing increases because you are going to have some corresponding wage pressures sort of coming through the system as well. In addition, the fuel is up. In addition we know that the market in the United States is particularly robust. I know that they’ve kind of hit a record month in terms of truck sales, class A truck sales in the month of January, I can tell you it’s not coming from Canada. Most of its coming from the United States. So that’s pushing up prices. So we got to be aware of these things. And as such, that’s part of the reason why prices have to go up. We will be able to improve our margin when we get pricing leverage but not to the same extent you get a pricing increase because you got cost pressure. So our job is to manage that obviously to get some margin improvement, that’s our objective for 2018, it’s margin improvement. But it’s not a one-to-one relationship, a 5% increase in pricing equals a -- it doesn’t all flow through the bottom-line because you got cost pressures coming in right behind.
Operator: Our next question comes from Turan Quettawala of Scotiabank.
Turan Quettawala: Yes, good morning. Thank you for taking my question. I guess maybe I'll start off, Murray you talked -- you gave us a quite a bit of detail about the EBITDA outlook for the year and obviously you gave that back in December. Am I reading this right in terms of you seem to be a little bit more encouraged by the trends here in January, February than maybe you were back in December when you get that outlook or am I reading too much into it?
Murray Mullen: Well Turan as a good analyst you will always read too much into it, so I will give accolades for that. But I think it’s kind of hybrid, I think I'm a little more optimistic now even than I was in December on the Trucking/Logistics side. We are really seeing some structural change happen. The rails are absolutely swamped, they can't give service. Some of that freight is coming back. The US is so robust, that’s going to pull and help the Canadian economy. So I'm optimistic from that. It is a brutally tight labor market, you can't get drivers today. So that’s all constructive. And it’s just more anecdotal evidence we see all the time. Most of the positive news in our optimism is driven by -- when I am talking our peers in the states and what I'm seeing happen down there. And we will not benefit to the same degree as them but we definitely I think see some benefits. Now in the oil and gas side, I would say I'm a little more cautious than I was in December. We are seeing evidence that our customers are being -- they've got to live within their cash flow there, there is no new capital to them. So cash flow is driven by the price of crude oil times production, price of natural gas times production, that equals cash flow. And so, I'm not -- I’m just a little cautious on that side. I'm not seeing really robust in the first quarter here. So I think structurally it gets better and I'm hoping that the second half is -- we get a few issues resolved, maybe we get some good news on some of these infrastructure projects because clearly if not, Canadians are being left at the altar here. We shouldn't be so foolish as to think that the world will change because we don't do something. I don’t think the world gives a damn.
Turan Quettawala: No, that’s fair. Thank you. That’s really helpful. And I guess the other thing I wanted to touch upon quickly here is you mentioned the technology angle and how that might be impacting pricing and I totally understand the dynamic over the next sort of call it 12 to 24 months with regard to the driver shortages and all of that, which will definitely help pricing it seems in the trucking business. But just more longer term, I’m sort of interested to share your thoughts on sort of over the next five years. It seems like what you’re saying is there is a lot of price discovery the technology allows you to do, which does it longer term mean that your ability to price is harder in the trucking world or is there something else that maybe will play into it? Just trying to understand whether you guys are sort of winners or does it hurt a little bit based on more technology coming into the business?
Murray Mullen: Really, what I think what price discovery does, is it takes away contract pricing. I see so many -- I’m just seeing is that everybody prices for today. What’s my demand today? Nobody’s got great visibility for the long-term. They just want to know what’s your price today and I think that’s where the price visibility comes in. So if it’s competitive and more supply than demand then price is going to go down and customers jump at that, at the heartbeat. On the other side of the coin, if demand improves and supply is tight, then it’s our job to price higher to that demand. So that price visibility is a dual-edged sword. You better be flexible and that’s what this technology’s designed -- that we’re doing. We understand how the game is played. Nobody wants to make long-term commitments today. Amazon has changed the rules of the game. What’s your price and you got to be able to respond very, very quickly to that. I’ll change my mind on that, if our customers come and say, I’ll sign a two-year contract, give me capacity and I’ll give you a raise to do it. And then I’ll say, okay, they’re taking a longer term view and they’re getting concerned about capacity and the rails can’t service them or whatever else. So, but what I would tell you, we’re having way more meaningful discussions with customers today than we did one year ago. From our perspective, they’re not liking it. But I can tell you, I’m liking it.
Turan Quettawala: Got it. Okay, that’s helpful. Thank you very much. And just maybe one last one for Stephen. That was a big jump in the D&A at Cascade. Just wondering is that recurring or -- I was just trying to get a sense of what the run rate is on D&A?
Stephen Clark: Yes. So in the fourth quarter, we accelerated the depreciation specifically at Cascade Energy for specialty units. We’ve come to the realization that the specialty units shouldn’t be depreciated the same as trucks and trailers within our fleet. So we accelerated depreciation, we’re going to change the depreciation policy going forward to 20% decline in balance rather than 10%. So that add about 7 million. But on a historic basis if you look back for couple of years, we’re still around $70 million to $75 million of depreciation. I would tell you that our sustaining CapEx and our view on CapEx for 2018 certainly hasn’t changed though.
Murray Mullen: From my perspective, and I’ll get it from a business side, Turan, is that, when we had set the original depreciation policies on those assets, we had great utilization, you had a lot of drilling activity. So you could, well the depreciation policies made sense. But as utilization rates go down, we had to be more realistic in terms of what the true depreciation of those assets might be is that we’re just not getting the same utilization. So depreciation goes up to reflect that, because they do depreciate. So I think that’s the reality what happened. And we got lots of specialty equipments. So we just moved some of those assets into the specialty equipment category in that depreciation schedule. So that's what happened. Very good question.
Turan Quettawala: Great, thank you so much, thanks a lot.
Operator: Our next question comes from Greg Coleman of National Bank Financial.
Greg Colman: Hey, everyone. Just a couple of quick ones here. Thanks, as always for the candid commentary. I wanted to start on potential upside risks. Murray, I was wondering if you could comment on what you're hearing or seeing on the ground or the likelihood of an LNG project on the West Coast there. In the past couple few weeks we've seen some encouraging signs at LNG Canada with them short-listing the number of potential agencies down to two and just a couple of rumblings and rumors and refreshing bids. I was just wondering if you could comment on what you're hearing with your boots on the ground.
Murray Mullen: Greg, I think my view, I'm hearing similar things that you and your colleagues are hearing and what everybody is hearing. So we don't have anything proprietary. We are getting more activity from our customers on bidding and revisiting previous bids that you put in and they're going for re-initiating to make sure that they get price discovery and what’s your bid today and whatever. So it's -- that's a very, very encouraging sign. I liked some of the tone that we're hearing, it’s much more constructive than it's been for quite a while. So, I hold to the view that we're hopeful, somewhat optimistic that everyone understands is that Canadians were fools for not assessing world markets. I can't imagine any other business in the country where we would not allow for access to world markets other than the energy business. I don't know of another country that would make that foolish decision. So as I said, we -- what we do in Canada, the world doesn't care about. We need to take bold steps in Canada with made in Canada solutions so that all of our companies and all of our products can get access to world markets. We've been hoodwinked by the US. We are now crushed by the US and we got to make bold decisions. It's time, step off folks. There's a market out there. Let's go.
Greg Colman: I appreciate that. Can you also -- and agree with that too. Could you also remind us what -- I mean what the potential impact could be for you? Would this be similar for Mullen as the restart or maybe initiation of a major oil sands projects or would it be potentially a half or twice as much that size? I know it might be getting a little bit over the edge of my skis here, because we don't know what it's going to look like. But if it wants to go forward, just order of magnitude, is this similar to a major oil sands project from your perspective or is there a structural difference which will make it larger or smaller?
Murray Mullen: I don't think the benefits to Canada are quite as much as an oil sands plant. But because I think most of it's going to be -- that's going to be constructed offshore, shipped by barge, shipped by ship, landed in and we're just going to [Lego] it together. So I think it's going to -- most of the product is going to be built. But most of the labor is going to come from Canada. You got to lay the pipe, that you have to do. So from that perspective. All-in-all, I think very, very good for just overall economic activity that job creation is staggering on this. The most important part to me is relates to drilling activity. As you know, in the oil sands original drilling activity is just mining. It's just digging in and that. But to feed the gas pipeline you got to drill and if we don't do something for to get new markets for our natural gas business, why would anybody drill for natural gas, makes no sense. So I think that the long-term benefit is on the drilling side and of course that has a tremendous economic multiplier to it and not the least to say which is royalties and taxes and all those kind of things for government coffers and all those kind of things. So I think the biggest long-term benefit, it really supports our natural gas business and pricing and price discovery.
Greg Colman: Got it. That makes a lot of sense. Okay, so that was on the upside risk. And then on the downside risk, you have obviously got a lot of news in the press right now on NAFTA renegotiations and what that’s going to look like. From a factual standpoint, could you remind us how much of your business is cross-border? And that’s from factual side. And then from a conjecture side, could you maybe opine on what the restructuring might look like and what it might do to demand supply balance for trucking in Canada. Is that a potential risk to your encouraging outlook on the Canadian trucking industry?
Murray Mullen: Truthfully, no. I don't think the NAFTA negotiations mean anything to trucking, to be honest with you. The facts are, nearly all of the products that we need in Canada, we have to import. Most of that import comes from United States. So that's just the reality. For Canadians, you got to ask what do we ship down to the United States? We know what shipped because we haul it, we haul it north bound and we haul it south bound. And I can tell you all the value-added goods come from the United States. Most of the other stuff going south is not value-added goods. Now could impact the auto sector? Absolutely, which I think is one of a major bottlenecks if you will in NAFTA which is the US wants more content for the cars that they are driving down there. They want to build them in the United States and not build in Canada or Mexico. But I don’t think that’s really -- that’s going to impact a bit but most value-added goods for Canadians that we have need for our economy, that comes from United States. Energy products, huge part of our -- of the NAFTA, well we don’t truck energy products. Those are piped, whether it’s gas -- natural gas or maybe some -- or oil, maybe a little bit in rail but generally not trucking. So I don’t think there is going to be a huge impact. I think the squabbles that are going on will get resolved one way or the other. It may not be called NAFTA because I don’t know what NAFTA really stands for but it’s not going to impact lumber. The US has already decided you are going to pay a tariff on lumber. So I don’t see it really changing a whole bunch to be honest. I think there will be lots of drama and everything goes with it. But at the end of the day we don't have a lot that we can offer to the United States. But we need lots of stuff because we don't have a strong manufacturing sector in Canada. We use things. We warehouse things, we distribute it to consumers but we don't manufacture things. We consume. So I'm not troubled by NAFTA, I hope it doesn’t get into a tit for tat like Alberta and BC. But those are little squabbles that go on you know give me access for pipeline or I won't use your -- I won't buy your wine, that’s for kids, that’s foolish. There is no strategy at all. And that’s the most irritating thing to most of us in the -- in order to trying to create jobs and help the middle class get ahead.
Greg Colman: Agreed. Thank you for that as well. Just actually how much of your transportation logistics business is cross-border shipping trucking from Canada down south?
Stephen Clark: Yes, so, great, it’s Stephen here. Approximately 20% of our miles is generated in the states in the Trucking/Logistics segment. So we don’t have a hard fact numbers as far as revenue though because some of our US customers we bill in Canadian dollars and vice-versa.
Greg Colman: Stephen, would it be approximately 20% of the T/L top-line or is there a reason it might be 10% to 30%, or is 20% a good starting point?
Stephen Clark: Well, I think the miles generally there’s not big fluctuations between the rate per mile in Canada versus the US on a currency adjusted basis. So I would think it would be around that.
Greg Colman: Got it. Thank you.
Murray Mullen: I would concur with that, Greg.
Greg Colman: Excellent. Thank you both for all those. I’ll turn it back.
Operator: Our next question comes from Andrew Bradford of Raymond James.
Andrew Bradford: Thanks a lot, guys. How are you doing? Curious the pace of acquisitions towards the back half of 2017 was pretty good. And you said that you’ve become even more optimistic than you were in the December update on Trucking/Logistics. So because of that, has that changed the opportunity set as we see it vis-à-vis acquisitions and the pace that we saw exiting 2017?
Murray Mullen: No, I don’t think so, Andrew. I think acquisitions are really a function of what comes available rather than us chasing. We’ve just got enough deal flow and it’s about what we can get down, what fits, how does it fit in organization et cetera, et cetera. But to the extent we’ll be -- we’re always selective on our acquisitions and -- but it hasn’t changed our view on acquisition. We will be aggressive on acquisitions but they’ve got to fit our strategic plan. And our strategic plan is real simple, it’s got to be -- it’s either a profitable well managed standalone business that fits our strategy or it’s got to be a tuck-in where we can see we just find synergies and we can drive margins from synergy not through anything else other than that. So truthfully, over the last couple of years, there’s more truckers got into troubles so it’s more the second part of layering in and then us managing the business and bringing pricing discipline to the organizations because we’ve got good business units that know how to price.
Andrew Bradford: Do you think some of these potential companies are foreseeing the same thing you are where they’re coming more optimistic as well and that might increase the bid ask spread?
Murray Mullen: I’m not sure, it probably will for the good companies. Andrew, I think that’s a very good observation. For the ones that are in trouble, no it doesn’t change it at all, because they can’t take advantage of it.
Andrew Bradford: Okay. When you -- so I’ve noticed over the years that you -- generally your smaller acquisitions tend to be two types. One is where there is almost a competitive motor on the company. And others you describe as tuck-ins where you affect these synergies. When you do that second one, how long does it typically take you before you kind of get to the goals of -- the margin goals that you have for that acquisition? Like is it a couple of quarters or is it closer to a year?
Murray Mullen: Yes. It’s more a year, I think 12 to 18 months. The first bid, you got to be very careful going in on day one, all you do is disrupt. You got to be careful, you got to just get in. And then it just takes a little bit of time because you’re trying to change a culture. And so, typically I‘d say 12 to 18 months before you get it. Some times Andrew we do earn out provisions in the transactions, which means there is a difference between the bid-ask, right? So when we have an earn out provision, it just says, well, I don’t think you’ll meet that objective. But if you do, I’ll pay you. And typically we don’t pay because they can’t earn what we think they could earn. Other than that, I just pay them upfront and get out of way. So during that earn out provision, there is not a lot of change that we institute during that earn out provision because you have -- you earn out the provision. So you kind of slow down by a year, if that makes any sense to you.
Andrew Bradford: Yes, it does for sure.
Murray Mullen: I don't want to go in and somebody blames me because I made changes in the company and that's why they didn't make earn out. I kind of have to let it be for -- I just got to let it settle for a year some times. And we let the market say, yes, you sold me the company, okay, if you think you can do that, I'll pay you that. I don't think you can, so this is what I'm offering. And you've seen that on a few occasions over the last bid. So I think you -- that's how we try and structure the bid ask.
Andrew Bradford: Okay. Just two more quick ones from me here. In the past when the market was tightened up like this, well, first of all, have you seen the market tighten up like this in recent years where there has been this chronic underinvestment? Can you sort of take us back to when that might have -- when you might have seen that before, when have we seen a market like this in trucking?
Murray Mullen: We saw a great market for trucking in 2014, 2015. We came of a -- we kind of came out of a global recession that was pretty nasty. It killed competition, nobody invested for a few years. We got into a really nice -- demand was increasing nicely as monetary policy did its job. And then layered on top of that, there was a major disruption in the supply chain, which was called the -- a strike at Long Beach, the Port of Long Beach, which is the major importing hub in the United States. And there was -- they just went on strike and as a result that went on too long, everybody was forced to re-shift the supply chain into other ports. And that created a bit of a spike in demand and I think truckers got sucked into that. They thought it was structural demand when it was just a situational demand. And everybody ramped up production, they are all excited, business is good, got to meet the customers’ demands. Guess what the strike was settled. What happened with supply chain? It went right back through Long Beach and right onto intermodal. And then everybody’s held with too much capacity. So they got -- that was a head fake and away. So it’s taken us two, 2.5 years to work through that now, but the economy is growing. But I've never seen a market where you have virtually zero unemployment. So how do you grow capacity with zero unemployment, I don't -- I mean, so there's only one way to do it. If you want it done, I'll do it for you but here's the price because I’m going to pay for it. So I don't think I've seen a market where it's been this tight on the labor side for quite. Now, we've seen it in Alberta, Andrew, when we were in the peak of the oil patch. Yes, we've seen that here. But I've never seen it broad-based across North America like this. I've never seen it.
Andrew Bradford: Okay. So if you've never seen this before, then I don't feel so badly being a bit ham-fisted trying to figure out kind of what impact this could have on your margins. If I go back and look at previous times of tightness and any of us go back and look at that, and that kind of margin appreciation is what we should expect going forward, would that be a fair starting point?
Murray Mullen: Well, it's a fair starting point. But since it's new, I don't know. I can tell you structurally, I think it’s going to get better. But -- and as I say to all of our business units and to all of us here, I mean it's up to us to do the best we can on this to maximize this change in the market condition. So there’s probably exactly how it's going to work out Andrew, I gave you my best guess, and says our margin overall will go to overall will grow 16% to 17% but we got to play it out. This is a very fluid situation right now. It’s a tight market but that doesn't mean that things don’t slowdown in a tight market for a little bit. That doesn't mean it doesn't over accelerate and whatever. So -- but structurally I have never seen a situation where we have -- like even for the OPEC, there is no way we could ramp up, there is no people. You will have to buy them. So we will have to see how it plays out but I would say -- let me just wrap it up by saying, I'm pretty optimistic.
Andrew Bradford: Okay. And just…
Murray Mullen: I just know my peers are smart enough to figure out. This is their time to make money and they raised prices and everybody can do well in our industry after not doing well for a while. It’s our turn.
Andrew Bradford: Well what comes around goes around. So if -- the last thing I just want to ask is you said it throughout the comment when you were talking about deployment of cash and paying back the note in June, you also through commented there about transformational acquisition. I haven't heard that kind of language from you in a while. Is there -- is something changing or is the setting changing that’s making -- that looked more like it’s getting closer to time?
Murray Mullen: No, nothing has changed. We have always talked about whether we do the big one or big transformational acquisition and that's why you wanted a strong balance sheet is that you can do it. But transformational acquisitions are like black swans, they only come around once in a while. You never know when they are going to come but you got to be positioned to take advantage of it when it does come. So I'm not predicting it but I'm saying we have the availability and the structure and the capacity and the liquidity to do it but it's got to be the right one. And the last big acquisition we did was Gardewine that was January 2015. That being as totally integrated into our organization, they’ve got now best-in-class safety performance. They’ve got a great management team, great business model and we are looking at now -- we are investing in it to make sure that they can get the highest margin they can. So we are looking for the next Gardewine. I'm not looking for the next revenue generator. I'm looking for the next Gardewine.
Andrew Bradford: Okay. I really appreciate the comments.
Murray Mullen: Revenue is just nothing for me. It doesn’t get my juices going. Great businesses do.
Operator: Our next question comes from David Tyerman of Cormark Securities.
David Tyerman: Yes. So Stephen and Murray congratulations on getting the results out a week early, they got some prefers and much appreciated as an analyst. My first question is on the margin side so when we think about price versus cost, do you think that you can actually get the price ahead of cost in Q1 or is it going to take a while for that to happen in the trucking and logistics sector?
Murray Mullen: I think this is an emerging trend David, it’s not an event. As such, I think it will be something it evolve over this year.
David Tyerman: Okay. That’s helpful.
Murray Mullen: Like it’s not -- I can tell you all of our business units are being aware of the market trends, don’t get snookered by your customer. This is a tight market, negotiate it in. But you need that lots of customer lead. You can't just go out and boom, boom, that's the spot market. But -- so I think on the contract market that’s a trends not an event. The spot market is an event. And this is certain percentage of our business within the spot market that companies are taking advantage of. And but that’s not a 100% of our market from that perspective.
Stephen Clark: And I would add David, even ironically as the things get a bit stronger as we use logistics and move it online more, our margins actually ironically go down but our free cash flow are enhancing. We’ve just added 15,000 trucks with Moveitonline, and that’s tremendous. So we’re going to take advantage of that. What does that mean that margin will necessarily expand actually ironically it might have the opposite effect.
David Tyerman: Right. Got it.
Murray Mullen: As we expand -- and Stephen’s got this nailed and just articulated very well is that, as we expand our logistics portion of our business, which is non-asset based, having access to a massive fleet of 15,000 trucks gives our logistics side the ability to grow faster than adding a truck and a driver. So that’s what we see the opportunity. But remember, in the logistics business you’re playing the spread. What you get and what you have to pay to the sub-contractor to get it done. So everything is about technology, price visibility. And like I said that the spot market is an event. The contract pricing, that’s not an event, that’s a trend. Does that clarify the two?
David Tyerman: Yes. That’s really helpful. It’s a good discussion. So just when I think about that, you had pretty good growth in T/L in Q4 like 15%, actually, it’s more than that. Is that the kind of number that we could be seeing, where it’s really being driven by this move to asset-light. So we get much higher growth rates but maybe even shrinkage of margin as you said. Is that how we should really be thinking about the company in 2018?
Murray Mullen: I think that would be our objective and what we’ve telegraphed where we want to head this company towards. Because as I said, I think structurally, we think as price visibility comes in and markets are not proprietary and relationships are kind of out of window, you have to be extremely flexible to be able to adapt to the markets wins, whether it’s up or down or sideways or whatever. You can’t do that if you invest in a bunch of hard assets and whatever. So it’s through the new business model that we’re just -- that’s our focus, which means that’s where the highest percentage of our growth could be. Now we still have traditional trucking. We still have LTL. That’s more -- that’s not going to be 10% to 15% increase. That’s going to be more in line with the economy and if we can do a layered acquisition. But I think our internal growth is more logistics generated. Our accelerated growth is through acquisitions and our steady growth and our margin improvement is going to come because of our existing hard assets, I expect to be paid for them in this robust market.
David Tyerman: Alright. And when we think about LTL versus truckload, how big are they relatively speaking in the business now?
Murray Mullen: Our LTL and truckload?
David Tyerman: Yes.
Murray Mullen: We gave you those specific details in the MD&A.
David Tyerman: Yes. Actually, I think you have, I’ll look them up, that’s fine.
Murray Mullen: Yes. LTL is -- in our overall business is going to be 40%, 50% overtime of our total Trucking/Logistics segment.
David Tyerman: Okay. And just…
Murray Mullen: Our largest business unit is Gardewine, but not all of Gardewine is LTL a vast majority of their businesses. But they do some other bulk hauling and specialized stuff within the Gardewine Group. But the predominant and the one that gets the most of our capital is in the LTL business for Gardewine. So, LTL is a primary focus of ours. So you should assume that. Logistics is a primary focus. And then just overall just trucking while we'll play the market and we’ll look for good opportunities where we see it.
David Tyerman: Got it. Yes and I know what the numbers are, that’s fine. Just on the oil and gas, can you just comment on what you think in terms of sales growth and margins, based on the market right now for the year?
Murray Mullen: Well, we think -- I think I've made an overarching comment that said, look, I think it will be up a little bit from ‘17 in our Oilfield Service side, but in saying that it'll be choppy. I don't know if the first half is going to be as good as the second half. I think we've got to get through some issues. I think our customers are trying to figure out where's the price of natural gas going to be, what's my cash flow is going to be? So they have to be a little more cautious because they're not sure what the total cash flow for the year is going to be. Some customers have clearly got it right, they are more crude oil or conde centric and they could have a little bit more visibility. But nobody can raise capital. So you got to be -- you got to live within your means. So that makes your -- you can't spend to perfection if you don't know what the denominator is. So I think we need to see just a little bit more clarity as to where it's all going to shake out. I think most of the clients we talk to, were just hoodwinked by this natural gas thing of how it’s really caught everybody. Some of the smartest and best people in the business have been caught. So, I think we just have to be realistic. It has to play itself out. And it's really a monk’s game to make a prediction. I’d say constructively I think our industry is getting better. But ‘18, my expectation is what I'm seeing now, it should be up a little bit from ‘17, but not a blowout. I just don't see it.
David Tyerman: Alright, okay. That's helpful. My last question was just on the acquisition. You’ve cited that the acquisitions are weighing on margins a little bit for the reasons you discussed. Are they weighing in any, in a way that we would actually see a pickup in margins over time, or is it always the case that they're going to weigh because you're always making acquisitions and so it's really not going to be any different going forward?
Murray Mullen: Yes, I think, our telegraph is that I see our core business going up. But as I do a new one in, it's not. And so it's always a work in progress.
David Tyerman: Okay. So don’t expect a lot of margin expansion from that.
Murray Mullen: I think it will be some, but not a lot. That's exactly right for the reasons we just discussed.
David Tyerman: Okay, perfect. Appreciate the comments.
Operator: [Operator instructions]. Our next question comes from Jon Morrison of CIBC Capital Markets.
Jon Morrison : Good morning, all.
Murray Mullen: Hey, Jon.
Jon Morrison : On the Trucking/Logistic side, would you expect gross pricing increases in 2018 to be above, say 3% to 5%, call it GDP and then a little bit?
Murray Mullen: We're looking -- we're targeting that for contract pricing, Jon. That’s what we’re targeting, spot market. What we've seen over the last bid, it could be 20% in the spot market, but the spot market can go down by 20% in two days. So -- but the general trend is for the first time in a long time we are getting pricing increase on our Trucking/Logistics side. We need it because we have cost inflation. So all that 3% to 5% doesn’t go to us. So I can't predict the 3% to 5% margin improvement in Trucking/Logistics because at least half of that is going to be through cost, so.
Jon Morrison : The general comment that you made about tightening in the Canadian trucking and supply and demand, specific to something you witnessed in Q4 on rate changes about market prices, or a lack of labor availability or is it more of the general themes that you have been talking about for six months just solidifying?
Murray Mullen: It’s actually general themes I have been talking about for two years. I said that eventually 1% to 2% growth rate tightens the market. And so we now have 10 plus years of 1% to 2%, 2.5% 1.5% growth rate. Well, now your economy is not 1.5% bigger than 2008. Your economies are heck of a lot bigger than that. You got bottlenecks happening everywhere, it doesn’t matter if it’s our highways or if it’s our airlines or whatever. So we’ve got a pretty big robust economy. So if you're growing 2% on big and you have got a very, very tight labor market, we’ve had -- not had a tight labor market for 10 years and now it appears we have a tight labor market. So it's now at this inflection point which is what I think I said happened in 2017 which gives us the confidence to say I can get pricing. I don’t think it leads to a whole bunch of more business because the economy is still growing by 1% to 2%, maybe in the US by 2.5% or 3% I'm not sure. But I'm not after more growth and no margin, I'm after more margin and smaller growth if you want Mullen’s opinion. That’s our view on the market Jon, is that we think there is a -- we are in cusp of a structural change and the dynamics of it in which people can’t add capacity to match demand. So that you either are way more efficient with technology or price inflation is coming in. You can pick your poison, I don’t care but I think it’s a structural change right now with the unemployment level where it’s at. We just cannot add capacity. If our business units came in and said I want a 100 new trucks because I'm going to get grow our business, I would say and where did you get those drivers from? I'll give you one anecdotal piece of evidence. In the United States a very, very major carrier just published they have 100,000 applicants to become a truck driver. They were only able to hire 2.5% of it, of the 100,000. And I guarantee you that didn’t replace what they lost in turnover. Can’t grow your business. Only through acquisition can you grow today.
Jon Morrison : What would cause the 2018 CapEx program to change at this point outside of M&A which is obviously unpredictable? Like is oilfield services the only dial that's really going to turn up or down at this point?
Murray Mullen: Trucking/Logistics, we are starting see if there is -- if our business units are coming in with they got a new contract that’s three to five years and it’s got the right pricing formula so we can go out and bid and pay the people to be able to get them from our competitors that can’t pay because they don’t price properly. That would encourage us to increase in truck and logistics. In the oil patch, nothing really outside of LNG and new pipelines, because that’s the -- that tells us that the industry can get back growing a little bit. And once the industry grows a little bit, then you can get pricing leverage a little bit. But until then, it’s -- we’re just living off of what we made with the past investments and live within our means and we’ll just wait it out. But remember, we had to wait it out in the Trucking/Logistics side for years, yes. And things have -- they’ll change, but you’ve got to wait for those events that make a change. I think the only think that makes -- would make me more confident in Trucking/Logistics is infrastructure.
Jon Morrison : And is it fair to assume that with our improved market access getting solidified for Canada, you’d be unwilling to deploy any real growth CapEx in the services sector even if you saw crude oil and gas differentials tighten? Without long-term market access, you’re just not willing to deploy incremental cash into that business?
Murray Mullen: No. This is a head fake. That’s exactly right. So for us, no. We got better places to go to work than buying into maybe it will work out. We’re not into maybe it will work out. We want to see the trends then we can get more constructive on that. But you’re right, until then, we sit. Until things change we’re underweight oil and gas sector.
Jon Morrison : Okay. Stephen, you talked about some of the revenue mix issues, a little bit drag to Q4 in Oilfield Services margins. Would you expected to continue in Q1 and Q2?
Stephen Clark: We have these high performers within our Group and when they go, they go. One of them is Canadian Dewatering in Q1 is not a good quarter for moving water. The other high performer has been Premay Pipeline. Again there’s not much there. So on the drill bit side, we have Formula Powell that’s doing well, but then we have other elements rig moving and the others that are doing as well. So it’s really hard to predict. But generally I would say, because drilling related is such a small portion of our mix now, it really all depends on whether we can get pricing leverage on what we call production services or fluid management. And I just don’t see that in the first quarter. Perhaps, Murray, you can opine on that.
Murray Mullen: Well, I think I’ve opined, Jon is that, I think our Oilfield Services, I’ve opined on it is that our Oilfield Services will be a little bit up from 2017. I said a little bit better. But in saying that, I said, we’re going to need to see some things happen in the second half, because I don’t see it happening in the first half. And for the reasons I said, I just think our customers are being -- they have to watch their balance sheet, because there’s no new capital. So they’re just being a little bit hesitant and I think they need to see more clarity before anybody can be excited about the oil patch. And so, I’m not going to change that view. I just think, we’ll just have -- it’ll be what it’ll be but I’m not seeing anything out there that says this is a boomer, I don’t see it.
Stephen Clark: And you won’t see it in the rig count either.
Jon Morrison : Given some of the challenges associated or angst that e-commerce spring in the trucking industry in terms of visibility for freight volumes, are you seeing more private trucking platforms engage in potential sale discussions independent of what the bid ask is at? Are you seeing more guys potentially look at selling platforms that you haven’t seen in the past?
Murray Mullen: Richard’s involved in this as much as I am, but we see lots of people in platforms and marketplaces. But I think the trend is definitely marketplaces, which is just really price visibility, that’s all it is. So yes, that’s why I said to you, I think that’s a new emerging trend, which is why we’re investing and we started on Moveitonline. So much earlier than most. And why -- it's all about content, who gets there first wins the game.
Richard Maloney : I think a lot of, Jon a lot of -- and we communicated this to you guys and our shareholders in the past, what we are doing differently with Moveitonline is really focusing on truckers and the 97% of the truckers that exist in North America that are 20 power units or less that we’re really trying to avoid are not participating with the 3PLs and that really steward our industry. So that's where we're getting great acceptance by these smaller truckers that are signing on. And today we're at 200 plus carriers and we're looking at them and how we are enhancing that, our team is meeting as we speak on this and that's really where I think we differentiate ourselves from some of these small IT startups based down in the states. And then they are really good IT people, but they don't understand the trucking industry and we're supplementing understanding the trucking industry with good IT people. So we -- I think that's how we're looking at things.
Jon Morrison : Okay. And Richard, is it fair to assume that the 200 carriers or 15,000 power units would be, call it materially above perhaps where you thought you'd be at this point?
Richard Maloney : You know what we're just pleased with 2017 was a good year in terms of developing, I know a system that is gaining us acceptance and I don't know if we really had any -- well, the first priority of Moveitonline is to make our own companies more efficient. It's done that. We know it's working with them and the dedicated subcontract group they have had, we’re very pleased that we are at 200 -- just roughly 200 carriers now. And we have, we have greater plans as we move forward.
Jon Morrison : Appreciate the color, I’ll turn it back guys.
Murray Mullen: Thank you.
Operator: Our next question comes from Mike Mazar of BMO Capital Markets.
Mike Mazar : Hey, guys. Good morning. Most of my questions have been answered. I just wanted to latch onto a number you guys throughout during the preamble and I might have misunderstood it or I think I misunderstood. Did you say that you've done a quarter of the transactions in T&L that in January that you did all of 2017?
Murray Mullen: For Moveitonline.
Mike Mazar: Okay, I got you, great. Okay, that makes sense.
Murray Mullen: That’s on our online marketplace. That's correct. We've done one quarter already in one month or just over 30 days of transaction than we did all of 2017.
Mike Mazar: Okay, perfect.
Murray Mullen: So that's kind of that, Moveitonline is a bit like a spider's web. The more they get in -- the question is, did you build a platform that people find value in? Well, by getting 200 in and having that many transactions go through, I think we feel pretty confident that we can say now that we're building a pretty robust platform that people say, geez, that works. And then when it works for one, it works for two, it works for two, works for four. The works for four goes to eight and then it becomes its own spider's web. That's what a marketplace is all about. And that's what we're trying to focus 100% on, is, what's the user experience and what's the -- when we get the content in and it's something that people see value in, then you’ve built a marketplace and that's what we're trying to accomplish through Moveitonline. As Richard articulated, we at Mullen, have already figured out, this has been an enabler for our logistics business. We've expanded the amount of content we’ve got with the amount of subcontractors that have been available in the marketplace. In a tight market, you want access to more carriers to get price visibility. That's where price visibility comes from, not from one -- one to one is a proprietary marketplace, but through many, many, many. Who has got the right truck in the right area that wants it that day and wants your price? And so, we're pleased with what we've accomplished in less than one year.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Mullen for any closing remarks.
Murray Mullen: Really I don’t have any more -- great Q&A session today. We got all the financials of 2017 out. We are now with this conference call put closure on '17, we are looking forward to '18. We got opportunities. There’s lots of issues, it sounds like every other year to me. So thank you very much. We look forward to chatting with you in April.
Stephen Clark: Cheers!
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.